Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Good morning. This is Kasey Jenkins, Vice President of McCormick Investor Relations. Thank you for joining today’s Third Quarter Earnings Call. To accompany this call, we posted a set of slides at ir.mccormick.com. We will begin with remarks from Lawrence Kurzius, Chairman, President and CEO; and Mike Smith, Executive Vice President and CFO and we will close with a question-and-answer session. 00:26 During this call, we will refer to certain non-GAAP financial measures. The nature of those non-GAAP financial measures and the related reconciliations to the GAAP results are included in this morning's press release and slides. 00:39 In our comments, certain percentages are rounded. Please refer to our presentation for complete information. In addition, as a reminder, today’s presentation contains projections and other forward-looking statements. Actual results could differ materially from those projected. The company undertakes no obligation to update or revise publicly any forward-looking statements whether because of new information, future events or other factors. Please refer to our forward-looking statement on slide two for more information. 01:09 I will now turn the discussion over to Lawrence.
Lawrence Kurzius: 01:12 Thank you, Kasey. Good morning, everyone. Thanks for joining us. Our third quarter performance demonstrates again that the combination of our balanced portfolio with the effective of execution of our strategies to capitalize on accelerating consumer trends and strong engagement with our employees have positioned us well to drive differentiated growth. Remarkably, we delivered an eight percent sales increase versus last year and seventeen percent versus twenty nineteen. 01:40 Our third quarter results reflect a robust and sustained growth momentum as we delivered organic sales growth on top of our exceptional third quarter performance last year. Our third quarter results also include strong contributions from Cholula and FONA. 01:55 Sales growth in our Flavor Solutions segment was broad based with the at-home products in our portfolio, flavors and seasoning, growing at approximately the same rate as our away-from-home product, which was primarily driven by a robust recovery from last year's lower demand from our restaurants and other food service customers attributable to COVID-nineteen restrictions and consumers reluctance to dine out. 02:18 Our consumer segment results reflect the lapping of the year ago elevated demand in the lockdown days of the pandemic from consumers eating and cooking more at home, as well as a sustained shift to consumer at-home consumption higher than pre pandemic levels. Taken together, these results continued to demonstrate strength and diversity of our offering, the breadth and reach of our portfolio of compelling offerings for every retail and customer strategy across all channels creates a balanced and diversified portfolio that enables us to drive consistency in our performance even at a volatile environment. 02:54 Turning to slide five, total third quarter sales grew eight percent from the year ago period or five percent in constant currency. Substantial constant currency sales growth in our Flavor Solutions segment more than offset slight constant currency sales decline in our consumer segment, driven by the factors I just mentioned. 03:13 Adjusted operating income was comparable to the third quarter of last year, including a three percent favorable impact from currency. The benefit of higher sales was more than offset by higher cost inflation and industry wide logistics challenges as well as by a shift in sales between segments. On the bottom line, our third quarter adjusted earnings per share was zero point eight zero dollars compared to zero point seven six dollars in the year ago period, driven by higher sales and a lower tax rate, partially offset by cost pressures. 03:43 As we’ve stated previously, we expect growth to vary by quarter in twenty twenty one. Importantly, we have delivered outstanding year-to-date performance. Sales and adjusted operating income are up thirteen percent and nine percent year-over-year, respectively. Both of which include a three percent favorable impact from currency as we’ve grown adjusted earnings per share of eight percent. Year to date versus twenty nineteen, we've driven sales, adjusted operating income and adjusted earnings per share growth of nearly twenty percent across all three metrics. 04:16 I'd like to say a few words about the current cost environments impact on our third quarter results, as well as our outlook, which Mike will cover in more detail. We stated in our July earnings call, we are operating in a dynamic cost environment and like the rest of the industry experiencing cost pressure. We're seeing broad based inflation across our raw and packaging materials, as well as transportation costs. To partially offset rising costs, we have raised prices where appropriate, but as usual, there is a timeline lag associated with pricing, particularly with how quickly costs are escalating. And therefore, the phase-in of most of our actions is taking place during the fourth quarter, those pricing actions are on track, and we appreciate our customers working with us to navigate this environment. 05:02 In the last few months, inflation has continued to ratchet it up, mainly with packaging and transportation costs. We’re experiencing the highest inflationary period of the last decade or even two, We, along with our peers and customers are also facing additional pressure on our supply chain due to strained transportation capacity and labor shortages and distribution. These pressure does not only impact costs, but also negatively impact sales as the addition of further supply chain complexity makes it harder to get order shipped and received by customers. And this pressure is exemplified by continued elevated demand. 05:40 Overall, we have a demonstrated history of managing through inflationary periods with a combination of pricing and cost savings and we expect to manage through this period as we have in the past. 05:52 Now let's turn to our third quarter segment business performance which includes comparisons to twenty nineteen pre pandemic levels as we believe these will be more meaningful than the comparisons to twenty twenty, given the dramatic shift in consumer consumption between at-home and away-from-home experienced in the year ago period. 06:11 Starting on slide seven. Consumer segment sales grew one percent, including a two percent favorable impact from currency and incremental sales from our Cholula acquisition compared to the highly elevated demand levels of the year ago period. Our consumer segment organic sales momentum on a two year basis was up double digits, highlighting how the sustained shift in consumer consumption continues to drive increased demand for our product and outpaces pre pandemic levels. 06:40 Our Americas constant currency sales declined one percent in the first quarter with incremental sales from our Cholula acquisition contributing three percent growth. Our total McCormick U.S. branded portfolio consumption as indicated in our IRI consumption data and combined with unmeasured channels declined ten percent, following a thirty one percent consumption increase in the third quarter of twenty twenty, which results in an nineteen percent increase on a two year basis. 07:08 Demand has remained high as we are realizing to benefit of our U.S. manufacturing capacity expansion, although some products remain stretched by sustained high demand. Shelf conditions are improving and we're seeing sequential improvement in our share performance. That said, as I mentioned a moments ago, the current issues related to logistics pressures continue to make it challenging for market leaders like McCormick to keep high demand products in stock which has prevented us from making further progress in replenishing both retailer and consumer inventories in the third quarter. Importantly, though, we're better positioned than we were last year entering the holiday season and are confident in our holiday merchandising plans. 07:53 Focusing further on our U.S. branded portfolio, our nineteen percent consumption growth versus the third quarter of twenty nineteen was led by double digit growth in spices and seasonings, hot sauces, both Cholula and Frank's RedHot and barbecue sauce, as well as our Asian and frozen products. 08:11 In pure-play e-commerce, we delivered triple digit growth compared to twenty nineteen, with McCormick branded consumption outpacing all major categories. This is the sixth consecutive quarter our U.S. branded portfolio consumption grew double digits versus the same period two years ago, which reflects the continuation of consumer cooking and using flavor more at-home and the strength of our brand. 08:47 Our key categories continue to outpace the center of store growth rates versus the same period two years ago, favorably impacting not only the McCormick brand, but our smaller brands as well. Household penetration and repeat rates have also grown versus twenty nineteen. And when our consumers shop they were buying more of our products than they were pre-pandemic. 09:07 McCormick continues to win in Hot Sauce. Across our brands, McCormick grows to be the number one Hot Sauce manufacturer globally earlier this year. In the third quarter Frank's RedHot, the number one brand in the U.S. was joined at the top of the category by Cholula, which we have driven to the number two ranking. 09:26 Now turning to EMEA, which has continued its outstanding momentum. We had strong market share performance in the third quarter versus last year. Maintaining or gaining share across the region in key categories following our strong gains in the third quarter last year. 09:41 Compared to the third quarter of twenty nineteen our total EMEA region -- we drove double digit consumption growth in herbs, spices and seasoning. And turning up the heat, Frank's RedHot has grown consumption seventy five percent and has gained a significant share versus the two year ago period. across the region, our household penetration and repeat rates have also grown versus the two year ago period. 10:06 Our year to date higher brand marketing investments in the EMEA are proving to be effective as evidenced by the metrics I just discussed, as well as our achieving above best market rates for rich engagement and click through for instance in our digital marketing. 10:21 In the Asia Pacific region, third quarter sales were strong reflecting our continued recovery from China's lower branded food service sales last year. Our consumer product demand in the region declined due to lapping significant growth last year. The region has also experienced supply chain challenges with ocean freight capacity constraints impacting the quarter's growth. 10:41 At Australia, we continue to see strong consumption growth versus twenty nineteen with key brands recently trending back towards twenty twenty levels with Frank's RedHot already higher than last year's elevated consumption. 10:55 Across all regions in our consumer segment, we are continuing to fuel our growth with our strong brand marketing, new product launches and our category management initiatives. We're making brand marketing investments across our portfolios to connect with our consumers, particularly online. 11:12 Early in the third quarter in the Americas, we began our search for the first director of Taco Relations. This was a dream opportunity for over five thousand applicants to showcase there Taco expertise and enthusiasm for our product and their video application. To date, we have garnered over one billion dollars earned impressions related to our search, and these will continue to grow upon the announcement of our new Director of Taco Relations next week on October fourth in celebration of National Taco Day. 11:42 We are not only creating buzz through our digital marketing, but also with our e-commerce direct to consumer new product launches. In the Americas, we drove new passionate users to our brands and digital properties with the launch of sunshine all-purpose seasoning, a new product development in partnership with social media influencer . Inspired by  personality and health and wellness focused recipes with salt free and gluten free Caribbean inspired blend sold out in just thirty nine minutes, generated record sales from e commerce driven innovation and over seven hundred million earned impressions. 12:19 Our new product launches differentiate our brands and strengthen our relevance with consumers. And with our global leadership position in hot sauce, we are in a perfect position to capitalize on consumers rising demand for hot and spicy flavors through a global heat platform. Our recent launch is the Frank's RedHot frozen appetizers and Cholula wing sauces in the Americas, as well as Frank's RedHot flavors in the EMEA have made strong contributions to growth in the third quarter. 12:48 Just in time for Halloween, EMEA is introducing dead hot gift sets for e-commerce, featuring Frank's RedHot. And in China, our recently launched ready to eat chili paste has the highest thirty day repeat rate of all McCormick directed to our products on T-Mall. 13:05 Turning to category management, our initiatives are designed to strengthen our category leadership by driving growth for both McCormick and retailers. These initiatives include simply changing shelf placement, for instance, increasing Cholula’s velocity over thirty percent by changing the tile placement at a large retailer to reinvesting in the spice and seasoning shopping experience. In the U.S. we're anticipating a cumulative implementation of our spice sell program, since it began in twenty twenty of ten thousand stores by year-end versus twenty nineteen to remove year over year noise, sales in the beginning of August show retailers that have adopted despite all changes are growing the category faster than those who have not. And McCormick’s branded spice and seasoning portfolio is growing solid mid-single digits faster in implemented stores versus stores which have not adopted the changes. 14:01 And in Eastern Europe, the rollout of our first choice bottle, which is perceived as premium and what was predominantly a sachet only market. It’s elevating the spices and seasoning category and driving increased share at our Eastern European market. 14:16 Moving forward, we are confident that we will continue the momentum of our consumer segment. We have more consumers than pre pandemic, they have coming to our brand are having a good experience and are buying our products again. We're excited about our growth trajectory and expect long lasting growth from the sustained shift to consumers cooking more at home fueled by our brand marketing, new products and category management initiatives. 14:42 Turning to slide nine, our Flavor Solutions segment grew twenty one percent or seventeen percent in constant currency reflecting both strong base business growth and contributions from our FONA and Cholula acquisition. Our third quarter results include the robust recovery from last year's lower demand from our restaurant and other food service customers, many of which are lapping the curtailment -- away from home dining. As well as strong continued momentum on our packaged food and beverage customers. Notably, growth was driven equally from both the at-home and the away from home products in our portfolio. On a two year basis, our sales also increased double digits with strong growth in all three regions. 15:24 In the Americas, FONA and Cholula acquisitions made a strong contribution to our significant third quarter growth and we're executing on our strategy to shift our portfolio to more value added and technically insulated products. We continue to see outstanding growth momentum with our consumer packaged food customers through new products and base business constrain. 15:46 Consumers rising global demand for hot and spicy flavors is driving growth for both our customer snacks and for our seasons that flavor them. Compared to last year's third quarter snack seasonings grew high single digits with strong growth in core iconic products as well as new products and the innovation pipeline continues to be robust. 16:07 Our confidence that FONA will accelerate our global flavors platform continues to be reinforced by their excellent performance with double digit sales growth compared to last year. Beverages are driving significant growth with particular strength in the fast growing performance nutrition category. And finally, in the Americas, branded food service contributed significant growth for the quarter as our demand for this channel has continued to strengthen as more dining options reopen. 16:36 In EMEA, we had strong growth versus both last year and twenty nineteen across all markets and channels. Quick service restaurants or QSRs are driving growth through increased promotional activities as limited time offers. Our branded foodservice sales with easing restrictions in the hospitality industry increased at a double digit rate versus the third quarter of last year. And with packaged food and beverage companies, our performance was strong on top of last year's strong growth, but the hot and spicy trend fueling growth in snacks seasonings, particularly through new product innovation. 17:12 Our sales growth in the Asia-Pacific region was partially impacted by the timing of our QSR customers strong limited time offers and their promotional activities in the third quarter of last year, which increased restaurant traffic as COVID-nineteen restriction is lifted. As we've said in the past, limited time offers and promotional activities can cause some sales volatility from quarter to quarter. 17:36 We recognized a part our third quarter Flavor Solutions results were due to the comparison to low away from home demand last year. Notably, our growth also includes strong contributions from FONA and Cholula, robust growth with packaged food and beverage customer, both in the base business and in new product wins driven by our differentiated customer engagement and continuing momentum with QSRs. Year to date versus twenty nineteen, we delivered thirteen percent constant currency growth, including FONA and Cholula and six percent constant currency organic growth. These results, combined with our effective growth strategies bolster our confidence and a continuation of our robust growth trajectory in our Flavor Solutions segment. 18:22 Now on slide ten, I'm excited to share some important purpose led performance news. Just a few days ago, we remain as a global compact lead company by the United Nations for our ongoing commitment to the UN Global Compact and its ten principles for responsible business, We are honored by this recognition for our commitment to sustainability and to be one of only thirty seven companies in the world, and the only U.S. based food producer to be included on this prestigious list. 18:52 Sustainable sourcing is a top priority and we've been actively working on initiatives such as our sustainability linked financing partnership with IFC and Citi which provides our urban spice suppliers in Indonesia and Vietnam with financial incentives linked to improvements in measures of social and environmental sustainability. As well as our partnership with Heifer International on the launch of the  (ph) Forestry project, which aims to increase small older pharma resilience and improve the quality of cardamom and all spice in Guatemala. 19:25 In addition, LATINA Style  is one of the top fifty best companies for LATINA store in the U.S. We are thrilled to be recognized for our continued efforts around diversity and inclusion. We're committed to the long term vitality of the people, communities and the planet we share and are proud of our impacts in these areas. We look forward to sharing more about these accomplishments as well as many others with you through our purpose led performance report, which will be issued early next year. 19:56 Before turning over to Mike, I'd like to make some qualitative comments regarding twenty twenty two. To be clear, we are not providing twenty twenty two guidance at the time. We are a growth company that we expect to grow in both of our segments next year. At the foundation of our sales growth, due to the rising consumer demand for flavor fueled by younger generations. We've intentionally focused on great categories that are growing and generating a long term tailwind. We're capitalizing on the long term consumer trends that’s accelerated during the pandemic and we're successfully executing on our strategy and initiatives. 20:34 In this dynamic and fast phased environment we are ensuring that we remain focused on long term sustainable growth. Recently, cost pressures have rapidly accelerated and we're preparing for them to remain in twenty twenty two. We plan to mitigate these costs which we expect to fully offset over time through a combination of CPI led cost savings, revenue management initiatives and pricing actions as needed. 20:59 In addition, we're taking prudent steps to reduce discretionary spend where possible. We also expect the impact of COVID-nineteen to persist into twenty twenty two, which will create continued broad based supply chain challenges. We've successfully demonstrated in the past our ability to manage through inflationary environments and cost pressures. 21:20 Importantly, our strong growth trajectory supports our confidence that our long term financial algorithm to drive continuous value creation through top-line growth and margin expansion. We have a strong foundation and remain focused on the long term goals, strategies and values that have made us so successful. 21:39 Around the world, McCormick employees drive for momentum and success, and I thank them for their hard work, engagement and dedication, particularly in such a volatile environment. 21:49 And now, I'll turn it over to Mike.
Mike Smith: 21:52 Thanks, and good morning, everyone. For the reasons Lawrence mentioned, my comments will also include comparisons to twenty nineteen. 22:00 Starting on slide thirteen. Our top line growth continues to be strong. We grew constant currency sales five percent during the third quarter compared to last year with incremental sales from our Cholula and FONA acquisitions contributing four percent across both segments. Our volume and mix drove our organic sales increase with Flavor Solutions growth offsetting a decline in the consumer segment. 22:22 Versus the third quarter of twenty nineteen, we grew sales fifteen percent in constant currency with both segments growing double digits. During the third quarter, our consumer segment continued to lap last year's exceptionally high demand. Versus twenty twenty, our third quarter consumer segment sales declined one percent in constant currency, which includes a three percent increase from the Cholula acquisition. Compared to the third quarter of twenty nineteen, consumer segment sales grew fourteen percent in constant currency. 22:53 On slide fourteen, consumer segment sales in the Americas declined one percent in constant currency, lapping the elevated lockdown demand in the year ago period. As well as the logistics challenges Lawrence mentioned earlier. Incremental sales from the Cholula acquisition contributed three percent growth. Compared to the third quarter of twenty nineteen sales increased seventeen percent in constant currency, led by significant growth in the McCormick, Lawry’s, Grill Mates, OLD BAY, Frank's RedHot, Cholula, Zatarain's, Gourmet Garden, Simply Asia, Stubb’s and all  branded products. That's a lot of brands. Partially offset by a decline in private label. 23:33 In EMEA, constant currency consumer sales declined eleven percent from a year ago, also due to lapping the high demand across the region last year. Notably, this decline includes strong growth in our Eastern European market. On top of their significant volume growth last year, which was more than offset by declines in the regions other markets. On a two year basis, sales increased ten percent in constant currency, driven by strong growth in our Kamis, Schwartz and Frank’s RedHot branded products. 24:02 Consumer sales in the Asia Pacific region increased eleven percent in constant currency due to the recovery of branded food service sales with a partial offset from the decline in consumer demand as compared to the elevated levels in the year ago period. Sales increased four percent compared to the third quarter of twenty nineteen including a sales decline in India resulting from a slower COVID-nineteen recovery. 24:26 Turning to our Flavor Solutions segment and slide seventeen, we grew third quarter constant currency sales to seventeen percent, including an eight percent increase from our FONA and Cholula acquisitions. The year over year increase led by the Americas and EMEA regions was due to strong growth, with both packaged food and beverage customers and in away from home products. Compared to the third quarter of twenty nineteen Flavor Solutions segment sales grew sixteen percent in constant currency. 24:56 In the Americas Flavor Solutions constant currency sales grew nineteen percent year over year with FONA and Cholula contributing twelve percent. Volume and product mix increased, driven by significantly higher sales through branded food service customers together with growth to packaged food and beverage companies with strength in snack seasoning. 25:16 On a two year basis, sales increased fifteen percent in constant currency versus twenty nineteen with higher sales from acquisitions and packaged food and beverage companies partially offset by the exit of some lower margin business. 25:30 In EMEA, constant currency sales grew nineteen percent compared to last year, due to increased sales to QSRs and branded food service customers as well as continued growth momentum with packaged food and beverage companies. Constant currency sales increased twenty three percent versus the third quarter of twenty nineteen driven by strong sales growth with packaged food and beverage companies and QSR customers. 25:55 In the Asia Pacific Region, Flavor Solutions sales rose one percent in constant currency versus last year, and increased eight percent in constant currency versus the third quarter of twenty nineteen. Both driven by QSR growth and partially impact by the timing of our customers limited time offers and promotional activities. 26:15 As seen on slide twenty one, adjusted operating income, which excludes transaction and integration costs related to the Cholula and FONA acquisitions, as well as special charges was comparable to the third quarter of last year, including a three percent favorable impact from currency. 26:32 Adjusted operating income in the consumer segment declined ten percent to one hundred and eighty million dollars, growing constant currency twelve percent, driven by the cost pressures from inflation and logistics challenges, partially offset by CCI led cost savings. 26:48 These logistics challenges not only impacted costs, but also negatively impacted sales. In the flavor Solutions segment, adjusted operating income rose thirty two percent to eighty four million dollars or twenty seven percent in constant currency. Higher sales, CPI led cost savings and favorable product mix as we continue to migrate our portfolio more than offset the cost pressures in this segment. 27:14 Across both segments, incremental investment spending for our ERO program was offset by lower COVID-nineteen costs compared to last year. During the quarter, we invested in brand marketing ahead of last year and notably, we have increased our investments eleven percent on a year to date basis. 27:33 As seen on slide twenty two, adjusted gross profit margin declined two sixty basis points driven primarily by the cost pressures we are experiencing and the lag in pricing. Our selling, general and administrative expense as a percentage of sales declined one hundred and ten basis points driven by leverage from sales growth. These impacts netted to an adjusted operating margin decline of one hundred and fifty basis points. In addition to the factors I mentioned a few moments ago, a sales shift between segments unfavorably impacted both gross and operating margins. 28:08 Turning to income taxes. Our third quarter adjusted effective tax rate was fourteen point one percent compared to nineteen point three percent in the year ago period. Both period were favorably impacted by discrete tax items, with the larger impact this year due to the favorable impact of a reversal of a tax accrual. 28:29 Adjusted income from unconsolidated operations declined five percent versus the third quarter of twenty twenty. Based on our year to date results, we now expect a mid-single digit increase in our adjusted income from unconsolidated operations for twenty twenty one, up from our previous projection of a low single digit decrease. This improvement is driven by strong performance from our McCormick Mexico joint venture. 28:55 At the bottom line, as shown on slide twenty five, third quarter twenty twenty one adjusted earnings per share was zero point eight zero dollars compared to zero point seven six dollars for the year ago period. The increase was primarily driven by a lower adjusted income tax rate. As compared to the third quarter of twenty nineteen, our ten percent increase in adjusted earnings per share was primarily driven by sales growth. 29:20 On slide twenty six, we’ve summarized highlights for cash flow and the quarter end balance sheet. Through the third quarter of twenty twenty one, our cash flow from operations was three seventy three million dollars, which is lower than the same period last year. The decrease was primarily due to the payment of transaction and integration costs and higher use of cash associated with working capital. This includes the impact of planned higher inventory levels to support significantly increased demand and to mitigate supply and service issues, as well as buffer against cost volatility. 29:57 Through the third quarter, we've returned two seventy two million dollars of this cash to our shareholders through dividends and used one hundred and ninety million dollars for capital expenditures. Our priority is to continue to have a balanced use of cash, funding investments to drive growth, returning a significant portion to our shareholders through dividends and paying down debt. 30:21 Now turning to our twenty twenty one financial outlook on slides twenty seven and twenty eight. With our broad and advantaged flavor portfolio, our robust operating momentum and effective growth strategies we are well positioned for another year of differentiated growth and underlying performance, tempered by the higher inflation ahead of pricing, and the logistic challenges we previously mentioned. 30:45 For twenty twenty one, we are projecting top line and earnings growth from our strong base business and acquisition contribution, with earnings growth partially offset by incremental COVID-nineteen costs and ERP investment, as well as a higher projected adjusted effective tax rate. We continue to expect an estimated three percentage point favorable impact from currency rates on sales. And for the adjusted operating income and adjusted earnings per share, a two percentage point favorable impact of currency rates. 31:18 At the top line, due to our strong year to date results and robust operating momentum, we now expect to grow constant currency sales nine percent to ten percent, which is the high end of our previous projection of eight percent to ten percent and includes a four percent incremental impact from the Cholula and FONA acquisitions. 31:39 We had initially projected an incremental acquisition impact in the range of three point five percent to four percent. We anticipate our organic growth will be led by higher volume and product mix, driven by our category management, brand marketing and new products, as well as pricing. 31:58 We are now projecting our twenty twenty one adjusted gross profit margin to be one hundred and fifty points to one hundred and seventy basis points lower than twenty twenty due to the increasing cost pressures I mentioned earlier. While we continue to expect a mid-single digit increase in inflation for the year, it has moved higher and is now approaching a double digit increase in the fourth quarter. 32:20 Overall, our projected adjusted gross margin compression reflects unfavorable impacts from sales mix between segments, cost inflation and COVID-nineteen costs, partially offset by pricing and margin accretion from the Cholula and FONA acquisitions. 32:36 As a reminder, we priced to offset cost increases, we do not margin out. Our estimate for COVID-nineteen cost remains unchanged at sixty million dollars in twenty twenty one versus fifty million dollars in twenty twenty and is weighted to the first half of the year. 32:54 Reflecting the change in gross profit margin outlook, we are lowering our expected constant currency adjusted operating income growth. Our adjusted operating income growth rate reflects expected strong underlying performance from our base business and acquisitions, projected to be eight percent to ten percent constant currency growth, which includes the higher inflation ahead of pricing and logistics challenges, and partially offset by a one percent reduction from increased COVID-nineteen costs compared to twenty twenty and a three percent reduction from the estimated incremental ERP investment. 33:29 This result in a total projected adjusted operating income growth rate of four percent to six percent in constant currency. This projection includes the mid-single digit inflationary pressure as well as our  cost savings target of approximately one hundred and ten million dollars. It also includes an expected low single digit increase in brand marketing investments. 33:51 Considering the year to date impact from discrete items, we now project our twenty twenty one adjusted effective income tax rate to be approximately twenty one percent as compared to our previous projection of twenty three percent. This outlook versus our twenty twenty adjusted effective tax rate is expected to be a headwind to our twenty twenty one adjusted earnings per share growth of approximately one percent. 34:15 We are lowering our twenty twenty one adjusted earnings per share expectations to five percent to seven percent growth, which includes a favorable impact from currency. This reflects our lower adjusted operating profit outlook and lower adjusted income tax rate, as well as the higher adjusted income from unconsolidated operations. 34:35 Our guidance range for adjusted earnings per share in twenty twenty one is now two point nine seven dollars to three point zero two dollars. This compares to two point eight three dollars of adjusted earnings per share in twenty twenty and represents eight percent to ten percent growth in constant currency from our strong base business and acquisition performance, partially offset by the impacts related to COVID-nineteen costs, our incremental ERP investment and the tax headwind. 35:02 I'll now turn it back to Lawrence.
Lawrence Kurzius: 35:05 Now I'd like to share our financial results and outlook in more detail. I would like to recap the key takeaways as seen on slide twenty nine. Our third quarter results reflect a robust and sustained growth momentum as we grow strong sales growth despite a challenging year over year comparison. Year to date versus twenty nineteen, we have driven significant double digit growth rates for sales, adjusted operating profit and earnings per share. 35:31 We have a strong foundation and a balanced portfolio which drives consistency in our performance. We expect higher at-home consumption will persist beyond the pandemic and are continuing the momentum we are gaining in away from home consumption. We're confident that our growth momentum of our business is sustainable. As a reminder, McCormick has grown and compounded that growth successfully over the years regardless of short term pressures. 35:57 Our strong growth trajectory supports our confidence and our long term growth algorithm to drive continuous value creation through top-line growth and margin expansion. We are driving McCormick forward and building value for our shareholders. 36:10 Now let's turn to you questions.
Operator: 36:14 Thank you. At this time we’ll be conducting a question-and-answer session.  Our first question comes from the line of Andrew Lazar with Barclays. Please proceed with your questions.
Andrew Lazar: 36:50 Good morning, everybody.
Lawrence Kurzius: 36:52 Hi, Andrew.
Mike Smith: 36:53 Good morning, Andrew.
Andrew Lazar: 36:53 Hi there. Maybe to start out at our recent conference and then, again, this morning, you’ve alluded to cost and supply chain disruptions likely continuing into fiscal twenty twenty two, others have made very similar sort of comments. Of course, you’ll have more pricing kicking in among other actions to mitigate some of the challenges. I think you also had mentioned that ERP costs could be offset by COVID expenses coming down. So, I guess things remain very fluid, of course, and you're not obviously giving specific twenty two guidance as of yet. But I'm trying to get a sense of whether on algorithm year, particularly on the profit side would be too much to ask in fiscal twenty twenty two at this stage. All things considered, particularly given what I assume will be continued margin pressure, at least through the first half next year?
Lawrence Kurzius: 37:40 Right. Well, first of all, Andrew, thanks for the opportunity to talk about it. It’s kind of pretty high level question, right?  in your question, you are close to couple of my points that I would actually make to answer it. Beginning with -- just to be clear, I'm not going to give guidance for next year. 38:01 There are a lot of moving parts, things are fluid. We are right in the middle of putting together our budgets for next year right now. As we said in the call, our long -- we're very confident about our algorithm over the long term. I'm just not ready to talk about it in twenty twenty two, specifically just yet. But in our prepared remarks, I did say we expect growth in both segments. And so, I'll start there and then I'll bring it back to profit. 38:34 Our -- McCormick is unique and that we've been differentiated by strong growth as underlying trends that support our business includes demographic tailwind from younger consumers that has nothing to do with the pandemic and then many of the consumption trends we believe were reinforce and accelerated by the pandemic. So we believe that going into the pandemic, our growth was differentiated already through it, it's been differentiated and coming out, but it continues to be differentiated that we paid investments including during the time of this pandemic, both organic and through smart acquisitions that put our portfolio more and more into high growth categories like hot sauce and flavor. 39:21 And on top of this, we're trying to have the top line benefit of pricing in twenty twenty two. So we are confidence in strong growth going forward. For operating profit there are a lot of puts and takes. Over the last few years we've had rising ERP investments, over the last two we've had the shock of extraordinary COVID cost and right now, we as everyone else not just in our industry, but across business in general are wrestling with decades high inflation. And that's everywhere, we're not unique The first two of these rising European investments versus COVID costs should largely offset in twenty twenty two. And I think just given the magnitude of the cost that we've described previously, everyone should have an expectation around those largely offsetting. 40:16 And first, the cost pricing is going to kick it, pricing has lagged, we have our pricing in the U.S. largely going into effect in fourth quarter, in particular. And so, I would expect that we would see – you should expect to see the benefits from that, not just in the top line, but running it through the P&L. But remember, the math says that margins compression take pricing, our approach is to take pricing to pass through costs and so the both the numerator and denominator go up and so the fraction gets a little bit smaller. 40:58 So while we do expect that pricing to come in, it would be reasonable to expect some level of margin compression. Nonetheless, with the pricing action and other steps we will take to offset cost and the top line growth that we expect, I think it's very reasonable to expect solid operating profit growth next year. I'm not ready yet to say if it's exactly on algorithm.
Andrew Lazar: 41:24 Right. I appreciate that color. That's helpful. And then one very quick follow-up and it may be tough to parse out. In the quarter though, are you able to sort of break out what impact some of the supply constraints may have had on overall sort of company organic growth? I think organic growth was up about one percent. I don’t know if some of the supply constraints were significant enough that it would meaningfully change what organic growth look like in the quarter. Thank you so much.
Lawrence Kurzius: 41:50 It actually did have an impact on the fourth quarter. I think -- sorry, I said forth, I misspoke there, it’s third quarter. And we haven't quantified that and I'm not prepared to, but it was material. We normally would not have a backlog at all to have -- the idea of having a backlog of orders is unprecedented, we have backlog that's measurable in days. And so it did have a – it definitely had an impact. It would have been our hope to actually continue to rebuild trade inventories as we went through the quarter which have not yet been fully recovered and we were not able to do so. We really wanted and planned to ship of more of these logistics challenges are very real -- we've got a very strategic discussion just now and a very tactical one. But just simply getting product out there has been a challenge in the face of the -- but it's still very high demand at the same time that we're having these logistical challenges. I’d say that the trade channels are still a bit starved for inventory.
Mike Smith: 43:12 We’ve noticed -- we didn't narrow our range on sales to the high end of the range. So we have very strong confidence in the fourth quarter.
Andrew Lazar: 43:20 Got it. Thanks you so much.
Operator: 43:23 Thank you. Our next question is from the line of Ken Goldman with JPMorgan. Please proceed with your question.
Ken Goldman: 43:30 Hi. Thank you. Just on pricing, are there any geographies or categories or brands where maybe getting the pricing you hoped for has been little more challenging than in others? And I guess I'm curious where are you in your, I guess, journey, so to speak of taking incremental pricing to offset some of the newer or more severe headwinds you're facing? I'm trying to figure out, if you're still having conversations with customers, do you feel most of the heavy lifting is done there for maybe some of the second rounds that'd be helpful. Thank you.
Lawrence Kurzius: 44:04 Well, first of all, I won't say that there's particular problem, these actions always have some degree of commercial tension in them and so I don't want to get too specific there. As such, there are ongoing conversations with customers, I think that there are some new conversations that we had. All of our actions on pricing are on track. Particularly for the U.S. the price increases that we talked about earlier year in the year have been solved in. 44:41 There is a time lag though, especially with how quickly cost have gone up. The inflation is accelerated since we launched those pricing. So there's more work to do in that area in twenty twenty two. Phasing of most of our actions is happening in Q4 and we would expect to see the benefit of that in twenty twenty two.
Mike Smith: 45:11 And I think I'd point you back Ken to historical perspective here. We had high inflationary periods in the past in the two thousand and eight, two thousand and nine timeframe, two thousand eleven, two thousand and twelve we are being successfully put in pricing, it's actually both  U.S. consumer during one of those time periods and we're able to pass through the pricing. We also pulled a lot of other levers whether it's CCI, discretionary spending to get to Andrew's point about getting back on algorithm from a profit perspective.
Ken Goldman: 45:42 Great. Thank you. And I'll pass it on there.
Operator: 45:48 Next question comes from the line of Robert Moskow with Credit Suisse. Please proceed with your question.
Robert Moskow: 45:55 Thanks. I think this question will sound like Ken's question, maybe a different tack though. Is the conversation different with retailers on how to take pricing or how to think about pricing in the latest -- in relation to the latest acceleration, because I think some retailers out there consider the supply chain disruption to be temporary, the labor challenges will go away. And as a result, does that mean you have to shift more towards, I don't know more variable actions on promotions or packaging changes rather than a straight up list pricing increase.
Lawrence Kurzius: 46:40 Well again, I'm going to say that, I can't give specific about any one particular customer, certainly the pricing actions that we just took, we had a lot of company going out there. And so I think retailers -- what they heard from us was similar to what they heard from others. I'm not so sure, we have gotten that kind of feedback that retailers thinks that these increases our transitory. 47:09 There's been some discussion about inflation not continuing to escalate, but there hasn't been any discussion about this not being reset of pricing levels. And I think that there's broad recognition of that and I will say that I was on a call with  yesterday, where he was saying very much the same thing. And so I think that the outlook is that these costs are not transient, they are here to stay and they're potentially going to have to find their way through in the form of pricing that gets to the consumer. And bell tightening across the entire supply chain, including us as a supplier to our customer.
Robert Moskow: 47:55 Okay, great. So you're saying is, it's similar types of conversations, there's no different types of push back on the second round compared to the first round, it's a similar conversation?
Lawrence Kurzius: 48:10 Yeah. I'm not – I’m not differentiating between the two right now. I think if i got much further than that I'm getting into too specific that are good to  two perspective.
Robert Moskow: 48:26 Okay. Anything else you want to tell us about what  Paul said? Or if you want to leave it there?
Lawrence Kurzius: 48:32 Just like us, he has got to do it in a public form, so it’s all out there.
Robert Moskow: 48:37 Okay. Thank you.
Operator: 48:41 Our next question is coming from the line of Adam Samuelson with Goldman Sachs. Please proceed with your question.
Adam Samuelson: 48:47 Yes. Thank you. Good morning, everyone.
Lawrence Kurzius: 48:49 Good morning.
Mike Smith: 48:50 Good morning.
Adam Samuelson: 48:51 So, I guess, on the inflation dynamics you've highlighted, specifically logistics and packaging. And I just want to be clear that is that more on the ocean freight side, is it domestic trucking, all of the above? And beyond those two discrete buckets, is there anything notable in terms of your own wage rates? And are you seeing pressures in your own labor force domestically given the rise and given the broad based labor pressures you're seeing?
Mike Smith: Hey, Adam, this is Mike. I'll take this first and Lawrence may add few comments. I mean, like we said on the call today, you're right, it's -- eighty percent to ninety percent of this is really logistics, transportation, packaging, things like that. So we have a really good line of sight to our commodity costs in the fourth quarter, obviously. 49:43 It's really both ocean freight, but also domestic freight. You've actually seen after Hurricane Ida, some of the domestic rates have gone up again. So that's part of the new news, and I think we're all experiencing in the U.S, in particular. You’ve seen globally in the UK natural gas challenges and things like that too and trucking challenges. So, it's both getting it here and getting it to customers. If on a wage rate perspective, we've taken actions just like other companies have to aggressively attract talent in our manufacturing facilities and DCs with retention bonuses and other actions like that. So I think to Lawrence’s point, these labor rates aren't going to go back down, there's been a reset of cost level that may not escalate further, that’s to be seen, but it's not -- we're not going to have deflation on labor rates.
Lawrence Kurzius: And I'll just add to that, the cost increase that we're talking about are -- these are not things that are unique to McCormick at all. The biggest increases has been on packaged materials and on transportation costs followed by raw material and labor. And I'd say that we look lot like everybody else in that regard.
Adam Samuelson: 51:04 Okay. That's helpful. And then if I can ask more longer term margin question, and it's really in the Flavor Solutions business. And I guess, I'm thinking to kind a couple of years pre-COVID in that business. And you done it through acquisition and internal initiatives and done a lot of heavy lifting to get the margins in that business to the kind of fourteen percent, fifteen percent level from about ten percent back in twenty fifteen, twenty sixteen. And we're now back in the thirteen percent to fourteen percent range. I'm just trying to think about where that business can go from here once we maybe get through some of these price cost and balances in the near term. Do you think there's a lot more room on mix to really push that business higher their investments in technology and R&D on the flavor side that you've got to accelerate to temper that. I'm just trying to think about that being a driver of earnings growth, maybe beyond some of the shorter term inflationary pressure that we're experiencing right now.
Lawrence Kurzius: 52:08 Adam, we're going to have to bring you in to help write some of our IR materials. The -- we are very confident in the margin trajectory of our Flavor Solutions business. We are really changing the portfolio, the big driver of our margin improvement over time has been the shift in the portfolio, there's more value added technically insulated products, we place investments in that part of the business, we've done acquisitions in that part of the business to accelerate the growth. And as the portfolio continues to shift in that direction, it's going to drive really a structural improvement in margin. Those are just categories that command a better margin and it's going to mix the business up. And at the same time, we've made decision to get out of some of the lower margin stuff, some of which is really low margin. And we've found graceful ways of exiting some of that without getting on the wrong side of customer relationships. 53:20 So, I'd say, our long term outlook for continued expansion of our flavor solution is one of the things that underpins our confidence are long term algorithm.
Mike Smith: 53:33 I think the FONA acquisition has even gave us more confidence and continuing to migrate that portfolio with really combining their technical expertise with ours.
Lawrence Kurzius: 53:43 And there's been a number of notes that we are going to try and parse it. Organic sales out from an acquisition and so on. We're are reporting one hundred percent of what we sell in FONA as acquisition related, but we have grown that business tremendously since we bought it. And we're very – and same with Cholula as well. But your question specifically is about flavor solutions and that's really part of that portfolio migration.
Adam Samuelson: 54:15 Okay, That's helpful color. I'll pass it on. Thanks.
Operator: 54:20 Our next question coming from the line of Chris Growe with Stifel. Please proceed with your question.
Chris Growe: 54:25 Hi, good morning.
Lawrence Kurzius: 54:27 Good morning.
Chris Growe: 54:28 Hi. I just had a question for you if I could in relation to pricing. Just understand, would you expect that your pricing would offset your inflation once all your pricing is in place?
Lawrence Kurzius: 54:41 I'm going to say that all of the levers that we're going to pull well. But part of what CCI does is offset inflation to an extent, part of it offsets cost increases and part of it we bring into reinvest in the business in otherwise, hence part of it makes its way to the bottom line and that’s the intend. So we are expecting that over time we will recover all of the costs, all of the levers, it won't be one hundred percent in pricing.
Chris Growe: 55:12 Okay. Understand. Thank you. I understand. And the other question I was going to say was, just as you get into -- is it expected that you would have a lot of these levers pulled by say, first quarter of twenty two? I know you've got some pricing going into place in the fourth quarter. I'm not trying to get to an exact time or guidance for next year. Just understand the timeframe around pulling all these levers?
Lawrence Kurzius: 55:37 I think that -- I don't want to get too deep into to talking about twenty twenty two. I did want to give guidance for the year, and I don't want to give guidance for any the quarter.
Mike Smith:
w:
Mike Smith: 56:04 And also you realize that there's a lot of focus on the U.S. timing, but this happens around the world at different time points based on local. So we'll have a lot more to say in the January call.
Chris Growe: 56:16 Understood. Okay. And I had just one question and it's just a more to understanding kind of this inventory situation we'll call it, I guess, in rebuilding. We can debate IRI or Nielsen data, but it shows like your U.S. sales down eleven percent and, again, we can debate that number. I see your Americas business again, not a perfect representation, totally the U.S. being down four. Is that gap -- this sort of inventory build you expected for this quarter year over year knowing that you were shipping below inventory -- below consumption a year ago? Or is there more inventory build to come, I guess, that’s what I'm trying to get to?
Lawrence Kurzius: 56:49 If you do the math, Chris, looking back two years. So look at the underserved twenty nineteen. Last year, you're right, we weren't shipping the consumption, demand was extraordinarily elevated. And if you strip out the acquisition, you have demand, consumption is up nineteen percent, our shipments are up thirteen. So this rate map on that would suggest we under-shipped by about six percentage points, which is very substantial. We did that's same math in Q2 and we were ahead by four. So it looks like we -- some of the -- some of the inventory build that we did. But in twenty nineteen we have holiday terms program in place, which we normally would do. Normally in the third quarter we're starting to build trade inventories for the heavy fall season. 57:37 And so that would have been part of the underlying demand. So when you net that all out, we think we're pretty close to even on shipping versus the true change in consumption. But that includes not being able to build trade inventories for the holidays as we would have hoped. And so we do think that we're -- as I said -- one of the questions earlier that, the trade channel right now is bit starved for inventory in the U.S.. Now we think of that as really slashing between third and fourth quarter and it's still going to end up getting captured within the year. 58:30 So it doesn't much change our outlook for the full year, it makes us anticipate a pretty strong -- pretty strong fourth quarter. But to ramp back to where we are on rebuilding, we're not as far along as we would have hoped.
Chris Growe: 58:48 Okay. That was good color. Thanks for the time.
Operator: 58:55 Our next question is from the line of Steve Powers with Deutsche Bank. Please proceed with your questions.
Steve Powers: 59:01 Yes. Hey, thanks. And you might just -- I think you sort of addressed this in response to Chris’s question, but just to play it back. So when we think about your intention to fully offset pressures over time and appreciating that there's a rolling process to this. I think -- I don't know, if Chris -- if you were speaking to Chris responses, id it on pricing or just all the offsets, but I guess, what I'm trying to get a sense for is just on those rolling offsets when do you think you hit run rate -- your run rate achievement of those offsets. Is that a middle of next year type of timeline? Or is it more realistic to think that it progresses all the way through and it's not until closer to the end of twenty two where you hit the full offset run rate. Just trying to get a sense order of magnitude of the pacing of your effort?
Mike Smith: 59:58 I mean, obviously, I mean a lot of depends on the future cost environment too in this. I mean, we put in pricing in the U.S. to just kind of going to partially hit in the fourth quarter like we said last quarter. The full impact is going to be in twenty twenty two. Now, if costs continue to accelerate, we'll have to address that with other actions. But I think it’s speculative at this point to try to call twenty two. And the timing is by quarter and by halves,
Steve Powers: 60:27 Okay. Okay. Fair enough. Can i ask just a cleanup up on tax and -- appreciating the three benefits you've now realized in twenty twenty one. And I'm not asking for twenty two, just on a normalized basis, has we think about your sort of the tax run rate for the business going forward. Any color on past taxes versus GAAP taxes that will great as well.
Lawrence Kurzius: Yes, it's a great question. And obviously, we talk about this actually at our 10-Q disclosure. Now we talk about kind of a underlying rate of twenty four percent to twenty five percent based on country mix, the underlying tax rates that we have and our expectations for the year. And generally what happens and what happened this quarter, there are discrete either programs or tax team runs, there are acquisitions in the past that we clean up some of the assumptions or estimates or there's statute to limitations that drop off where we’ve tended to realize some discrete tax benefits. So it’s exactly what happened this quarter, but under the current tax regime, with Guilty and Citi and all these things globally, it's twenty four percent to twenty five percent. Obviously, we're all waiting to see what happens in Washington to see what future rates are. And I’d say our cash taxes are pretty close to that too.
Steve Powers: 61:48 Thank you very much.
Operator: 61:52 Our next question is from the line of Rob Dickerson with Jeffrey. Please proceed with your question.
Rob Dickerson: 61:58 Great. Thank you. I just wanted to touch on private label for second, given you still operate that side of business a bit as well as brands. Obviously, there's been kind of ongoing discussion kind of where state of that overall industry kind of sits as we kind of get through the pandemic. So I’m just curious, given some of the comments around, let's say, trade inventory not exactly where you want it to be going  and did pricing forthcoming. I'm just kind of curious what you've seen or heard the retailers as of late around demand for kind of your private label products versus brands? And then just kind of how you think about price gaps as you kind of enter this pricing phase. That's first question. Thanks.
Lawrence Kurzius: 62:47 Sure. Well, generally across all categories, private label has loss share in the pandemic  as a group have gained and then recent results that we just announced, our brands were strong private labels . When it comes to pricing, that costs are going up for every raw materials, packaging, labor and transportation and that applies for private label as well and so pricing actions that we are going forward are including the private label products that we manufacture and I would expect that in many cases, just because the price at a lower price point that they may see a higher percentage inflation rate because of the same costs flow through, but it's going to be a bigger percentage.
Rob Dickerson: 63:43 Okay. Fair enough. And then just quickly, we've obviously heard from a lot for companies so far your elasticity measures look great relative to history, given some of this elevated demand. I'm just curious, again, I know you are not giving twenty guidance, but you have to have some thoughts as to kind of what you might be baking in on the elasticity side, kind of what I’m hearing is, if there's growth expected in both segments next year and pricing coming. I'm kind of assuming that the answer here is that there could be some incremental distribution gains to offset some of your elasticity, demand remains elevated, just kind of any comments around that kind of volume side versus the price side and where you thinking your elasticity you can shake out? Thanks.
Lawrence Kurzius: 64:32 Sure. The demand remains elevated, our categories for -- we're already growing before the pandemic and we need to growth through it and there's – we have talked endlessly about the underlying demand for flavor growing, the younger consumers are fueling that. And as we've gone through the pandemic, we've gained household penetration, usage rates are up and we haven't talked about it much, but we -- I think we had a comment about it in the prepared remarks that purchases per purchase occasion are up a lot. And so consumers are buying more of our products and we expect that to continue to be the case. So I'd say our outlook continue to be positive for strong sales growth. 65:27 And if you look at consensus sales for next year that are out there, they're pretty anemic and I guess we're trying to definitely suggest that there's a reason to reconsider that.
Rob Dickerson: 65:41 All right. Thank you. It’s very helpful, Lawrence. Appreciate it.
Operator: 65:46 Thank you. Our final question is a follow-up from the line of Robert Moskow with Credit Suisse. Please proceed with your questions.
Robert Moskow: 65:53 Hey. Just very quickly, Lawrence, I think you quantified on a two year basis Americas shipments up thirteen percent, consumption up nineteen percent and doesn't that also include your private label business being down in that two year period. So therefore the gap isn't really six hundred basis points. It might be a little bit less.
Lawrence Kurzius: 66:19 It's a very call number overall compared to our branded portfolio change, it’s definitely less than one percent differential.
Robert Moskow: 66:27 Less than one percent. Okay. Thanks for the math.
Operator: 66:33 Thank you. At this time, I'll turn the floor back to management for closing remarks.
Lawrence Kurzius: 66:42 Oh my gosh, we are out of questions. Great. Thanks everyone for your questions and for participating on today's call. McCormick is differentiated by the breadth and the reach of a balanced portfolio, which has sustainably positioned us for growth. Very are very pleased with our outstanding year to date operating performance, which proves the strength of our business model, the value of our products and capabilities as a company. Looking ahead, we expect to drive even further growth as we continue to execute on our strategy, actively respond to change consumer behavior and capitalize on new opportunities. Thank you for your time this morning.
Operator: 67:17 Thank you, Lawrence. And thanks everyone to joining today's call. If you have any further questions regarding today's information, please reach out to me. This concludes this morning's call. Have a good day everybody.